, IR: Mary Szela - President and CEO James Young - CFO Richard Marshall - Medical Director
Operator: Good morning and welcome to TriSalus Life Sciences First Quarter 2025 Earnings Conference Call. Currently, all participants are on a listen-only mode. We will be facilitating a question-and-answer session toward the end of today's call. As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Alex Grossman, Associate Director with LifeSci Advisors. Please go ahead.
Alexandra Grossman: Thank you, Operator, and thank you all for participating in today's call. Joining me today from TriSalus Life Sciences are Mary Szela, President and Chief Executive Officer, James Young, Chief Financial Officer, and Dr. Richard Marshall, Medical Director. Ms. Szela will provide an overview of the company's first quarter results and strategy for the balance of the year, and then Jim will review the financial results for the quarter in detail. Dr. Marshall will join the call to help address questions from the covering analysts. Earlier this morning, TriSalus released its financial results for the quarter ended March 31, 2025. A copy of this press release is available on the TriSalus website. Before we begin, I would like to remind you that management will make statements during this call that includes forward-looking statements within the meaning of federal securities laws, which are made pursuant to the safe harbor provisions of the Private Securities Reform Act of 1995. Any statements contained in this call, other than statements of historical fact, are forward-looking statements. All forward-looking statements, including without limitation, statements relating to our sales and operating trends, business and hiring prospects, financial and revenue expectations, and future product development and approvals are based upon our current estimates and various assumptions. These statements involve material risks and uncertainties, including the impact of macroeconomic conditions and global events that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of the risks and uncertainties associated with our business, please refer to the Risk Factors section of our Form 10-Q on file with the SEC and available on EDGAR and in our other reports filed periodically with the SEC. TriSalus disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast today, May 15, 2025. And with that, I'll turn the call over to Mary.
Mary Szela: Good morning, everyone, and thank you for joining us today. In the first quarter, TriSalus continued to make meaningful progress on its strategic priorities. These include growing market share for TriNav in the liver embolization market, advancing our technology pipeline, exploring new applications for pressure-enabled drug delivery, or PEDD, and preparing nelitolimod for a pharmaceutical partnership across multiple indications. We achieved several key milestones in Q1 that laid a foundation for sustained momentum in 2025 and beyond. We believe we're just beginning to realize the full potential of over a decade of hard work, work that now positions us for multiple commercial and clinical catalysts in the coming year. Importantly, with the completion of Phase 1 trials for nelitolimod, we're shifting to a partnership-focused strategy. This transition allows us to eliminate all development expense on nelitolimod by the end of the year, yet preserve the long-term value of that program while concentrating our internal resources on the immediate and broader opportunity within our PEDD technology platform. From a commercial perspective, we maintained strong momentum in the quarter, gaining further penetration in the complex liver embolization market, while also expanding our technology into new clinical settings. For our first quarter of 2025, we delivered $9.2 million in net sales, a 42% increase compared to Q1 2024, and 11% sequential gain over Q4 2024. Our strategy remains grounded in five core areas. Number one, driving adoption of PEDD across a broad range of solid tumors, advancing new clinical applications for TriNav, improving manufacturing and gross margins, expanding our product portfolio, most recently with TriNav LV and TriGuide, and continuing to build a high-growth, scalable organization. Now let me walk you through some of the key accomplishments from the quarter. First, on market leadership and revenue growth, our results for the quarter position us as one of the fastest-growing medtech companies in the interventional oncology space. Second, we continue to generate compelling, real-world data. At the Society of Interventional Oncology Annual Meeting, we presented updated health economic and outcome research. In an analysis of over 600 PEDD-treated patients, compared to 16,000 non-PEDD patients, we saw statistically significant reductions in 30-day inpatient admissions, improved fatigue outcomes, and cost savings for providers. These findings are powerful. They reinforce that interventional radiologists are choosing TriNav for their sickest patients, yet they're seeing tangible benefits. Third, we continue to grow our commercial footprint. In Q1, we increased the number of unique ordering counts by 39% versus Q1 2024, adding 32 new accounts in the quarter, while also seeing increased utilization per account. This speaks to both deepening engagement and expanding our reach. Fourth, we made a major step forward in reimbursement. On April 1st, the Centers for Medicare and Medicaid Services issued a HCPCS code, C8004, providing coverage for mapping procedures using TriNav. This means clinicians can now use TriNav for both treatment and planning and delivery in radioembolization. In effect, this doubles the reimbursable use of our technology for Y90 and supports broader adoption. Fifth, at FIO, we also shared interim data from the TRI Fi Y90 study. This study addressed the poor correlation between MMA mapping and microsphere delivery, which has been a longstanding challenge in Y90 or radioembolization therapy. The use of TriNav for both phases showed improved concordance, suggesting a more precise and reliable therapeutic approach. The study has closed, and we're preparing the full data set for publication. Beyond liver cancer, we're also exploring new clinical applications for TriNav. In Q1, we launched the PROTECT Registry, a multi-center effort led by Sarasota, Memorial, and other clinical sites, evaluating PDEDD for patients with thyroid nodules or goiters who are not candidates for surgery, radioiodine, or ablation. The goal is to assess disease-related quality of life, thyroid function, and other outcomes following PEDD-based thyroid artery embolization. This novel approach, called PED-TAE, was pioneered by Dr. Juan Camacho, and Dr. Camacho has now treated over 40 patients and has presented outcomes at NASET and SAR, and we're encouraged by the growing interest in this application. In terms of product innovation, we launched TriNav Large and TriGuide, expanding PEDD into larger vessels. These additions support deeper penetration of the liver market and open up new procedural opportunities. We're also pleased to note that, following a successful market evaluation, we will soon be initiating the full launch of TriNav Flex, formerly known as TriNav 2.0. TriNav Flex demonstrated to deliver improved trackability, and it is an important addition to our PEDD portfolio, providing interventional radiologists with a device specifically designed to treat torturous vascular anatomy. On the nelitolimod front, we successfully completed Phase 1 trials in multiple liver tumor types, including metastatic, uveal melanoma, HCC, and cholangiocarcinoma. Additionally, we completed enrollment in PERIO three, our Phase 1 study of nelitolimod in locally advanced pancreatic cancer. We expect final data in the second half of 2025. As we wind down these trials, we're closing clinical sites and preparing final reports, laying the groundwork for potential pharmaceutical partnerships. With this shift, we also expect a significant reduction in R&D spend, particularly in the second half of the year, and no further spend in 2026. Now let me touch on our financial position. Subsequent to the end of Q1, we raised approximately $22 million in gross proceeds through a private placement. This additional capital strengthens our balance sheet and provides the resources needed to invest in further commercial resources, pursue new clinical applications, and expand our market opportunity. Equally important, we reached agreement with 55% of our preferred shareholders to implement an exchange offer, converting preferred shares to common stock. This simplifies our capital structure, removes the upcoming reset provision scheduled for July 2027, and better aligns our long-term investor base. Looking ahead, we're entering the rest of 2025 with strong tailwinds. Our strategic priorities are clear, deepening penetration in the liver embolization market, capitalizing on full reimbursement for both mapping and treatment, advancing TriNav Flex and TriNav Large, generating and publishing new HEOR and clinical data, and completing study reports and readouts for nelitolimod to allow partnering discussions. We believe TriNav is on a clear path to becoming the standard of care for complex embolization. Our focus is on strengthening the clinical evidence, engaging key societies, and building sustained commercial growth. We want to confirm our guidance of at least 50% revenue growth to reflect our confidence in the momentum we're building. While we remain committed to improving EBITDA performance, we're also making a deliberate decision to invest in strategic areas of the business. Specifically, we're allocating capital to accelerate development of new clinical applications of our core technology, as well as expanding our commercial organization, which we believe will expand our addressable market and drive significant long-term value. As a result, we do not anticipate being EBITDA positive or cash flow positive in 2025. In summary, our refined guidance reflects a company that is scaling, investing in its future, and focused on creating meaningful value for patients, providers, and shareholders alike. As always, we remain a science-driven organization committed to putting patients at the center of everything we do. Our progress is making a real difference for people living with liver, pancreatic, and other solid tumors. Finally, I want to thank our team. Their passion, dedication, and relentless focus on innovation are what makes this company special. I'm grateful to all of our employees and shareholders for your continued support. We look forward to sharing more in the quarters ahead. And now I'll turn it over to our CFO, Jim Young, for the financial update.
James Young: Good morning, everyone, and thank you, Mary. I am pleased to announce that TriSalus achieved the following results in the first quarter that ended March 31st of 2025. Our revenue, solely driven by the success of the Trinav device in the U.S., reached $9.2 million. This sales achievement represents a 42% increase compared to the same period in 2024 and is also up 11% sequentially compared to the fourth quarter. TriSalus has a track record of growth, as illustrated on Slide 1, which shows the company growing at a compound annualized growth rate of approximately 50% since the launch of our product in 2020. These results can be attributed to several factors, including the adoption of TriNav in new accounts, increased utilization of existing accounts, and the continued expansion of our salesforce, all of which have led to an increase in our market share to 10% of the liver, taste, and care procedures. Our gross margin profile of 84% in the first quarter of 2025 is slightly unfavorable compared to 85% in the first quarter of 2024. This unfavorable margin profile in 2025 can be attributed to decreased factory volumes associated with a factory clean room expansion, which has now been completed. We believe our facility in Westminster, Colorado, has the capacity to support our growth over the next five years with minimal capital investment. In terms of our investments in research and development, expenses for the first quarter of 2025 totaled $3.3 million, a decrease of 44% from the first quarter of 2024. As Mary noted earlier, we expect our clinical costs in 2025 to continue to decrease due to completion of nelitolimod patient enrollment in all PERIO studies. General and administrative expenses for the first quarter of 2025 totaled $5 million, representing an increase of over 7% compared to the fourth quarter of 2024, primarily due to the timing of audit and legal expenses. Our operating losses for the first quarter of 2025 totaled $7.3 million compared to losses of $11.7 million in the first quarter of 2024. The decreased losses in 2025 can be primarily attributed to increased sales and reduced research and development expenses as noted earlier. We have also published adjusted EBITDA results for the first time in our earnings release. We believe this is an important and useful measure of performance and we will continue to publish going forward. Our adjusted EBITDA losses for the first quarter of 2025 totaled $5.5 million compared to losses of $10.4 million in the first quarter of 2024. Decreased losses in 2025 can be primarily attributed to increased sales, reduced research and development expenses, and higher non-cash stock compensation expense in 2025. At quarter end, we have $13 million of cash and cash equivalents. Subsequent to the end of the first quarter, we raised $22 million in gross proceeds from a private placement. We believe these amounts provide us sufficient liquidity to fund operations throughout 2025 and as noted previously, we expect to become cash flow positive in early 2026. And now, I will turn the call back to Mary for closing remarks.
Mary Szela: Thank you, Jim, and thank you to everyone who joined us on today's call. At TriSalus, we are proud of the progress we made in the first quarter of 2025. We continue to advance the adoption of our TriNav technology across a growing number of clinical settings, and we've taken important steps to position nelitolimod for potential partnerships that can unlock its full value. These achievements are helping us to shape an exciting future for TriSalus, and we're energized by the momentum we're building. With that, I'll be happy to open the line for questions. We appreciate your interest and look forward to your insights. Thank you.
Operator: Thank you. [Operator Instructions] The first question comes from Justin Walsh with JonesTrading. Your line is open.
Justin Walsh: Hi, thanks for taking the question. I'm wondering what we should be looking for in the PERIO 03 readout. I'm curious what you think would be an attractive outcome for potential partners.
Mary Szela: Sure. So let me remind you, this was a Phase 1 dose ranging trial, and there were two components of it that we were studying. Number one, this was a new technology, a novel technology that's never been used before. So this was our PEDD device that accesses the pancreatic tumor through the venous vasculature, which no one has done. And we concluded after 38 different infusions that we have a device that is highly functioning, easy to use for the physician, and performs very, very well. So that was number one. We have a device that works very well with very minimal side effects. Number two, what we're looking for in the data is this was a dose ranging study. We collected quite a bit of correlative information, which is unusual for this type of a trial. We had tumor tissue samples pre and post, measured a lot of cytokine levels pre and post, and followed the patients for quite some time. We also had secondary endpoints of overall survival in all their treatment. I don't have the final data yet. We have a couple patients that were enrolled in the last few months of the year. So we will review that data. We know that we have about 50% of the patients out of the 12 patients that were enrolled. There were actually 13 patients. One never received treatment. But of 12 patients, about 50% of the patients are still alive, which is actually a good sign. And one of the key things they're looking for is really, can this drug, nelitolimod stimulate the innate environment of the pancreatic tumor? And that's what, in conversations with various pharmaceutical partners, just how profoundly does that occur? And after two infusions and the overall safety profile, those are the two areas of focus for pharma partners. Does that help?
Justin Walsh: Yes, it does. And maybe one very quick follow-up. I'm just curious if you're seeing interest in nelitolimod sort of in and of itself, or if it still is in conjunction with the use of TriNav. And just some thoughts, if you do find some partners here, if your expectation that your role would be assuming that they do trials that combine with TriNav, essentially providing TriNav and then possibly receiving royalties from nelitolimod. Just curious how you're thinking about possible structuring and potential use. I'm sure a lot of that will be dependent on the partner, of course.
Mary Szela: Right. So number one, nelitolimod really can't be infused intravascularly. This would actually create, can't be delivered IV. That would create cytokine storm. Obviously, it could be delivered via needle injection. And what we saw that that was really suboptimal. So the way that we feel that really optimizes nelitolimod's performance is through our technology. And that's how it would be developed. And that's the data that they'll be looking at across the liver and in the pancreas. And the goal would be is that we would partner with them. We would handle, obviously, the whole procedural aspect and hopefully potentially participate on the drug side. We think that PEDD is really a platform for a whole range of different drugs to be delivered in this manner. And this would be where we could deliver it directly to the tumor site, as well as this drug would be administered systemically. And we think that could have a profound impact in terms of outcomes. And that's what is really the interest of various pharma partners. How do you get a higher concentration in the tumor? It doesn't take away from systemic delivery, which is addressing the micrometastases. But can you improve outcomes substantially by that combination.
Justin Walsh: Great. Thanks for taking the questions.
Operator: And the next question comes from Ross Osborne with Cantor Fitzgerald. Your line is open.
Ross Osborne: Hi. Thanks for taking our questions. And congrats on the progress. Starting off, we'd be curious to hear any feedback so far on TriNav Large. And what types of patients and clinicians are you seeing initial adoption with?
Mary Szela: You know what, frankly, the TriNav Large is performing really well. I'll hand that call over to Dr. Marshall, who probably would even have a better insight into the larger vessel-sized patients. But where we hear the most of the adoption is just larger tumors. We're also seeing it in uterine fibroid embolization. But Dr. Marshall, you want to comment further?
Richard Marshall: Yes. First of all, good morning. And thanks for letting me participate. So I actually used the TriNav Large yesterday. And where we're seeing physicians use it most, it's mostly in the liver. And it's for tumors that are fed by larger arteries. So the size range for TriNav Large is an artery that's 3 to 5 millimeters in diameter. That's larger than a standard hepatic artery. So tumors that are really vascular, like hepatocellular carcinoma, neuroendocrine tumors, and then multifocal, where there are multiple tumors in the same vascular bed. And we're seeing great results with it. Physicians are happy with it because they're able to treat a larger area. And as Mary mentioned, we are seeing its use in uterine fibroid embolization. Its larger capacity allows physicians to deliver more drug faster. And so those are the two primary uses. We are seeing increased use in the thyroid, where some of those arteries are larger because of larger goiters. And I think that's a good synopsis of how it's being used now.
Ross Osborne: Great. I appreciate the color there. And then in terms of your clean room expansion, when were those initiatives complete? And how should we think about cadence for the bounce of the year in the gross margin line?
James Young: Yeah, I can take that one, Ross. Thank you. It was completed in March. So it was probably kind of February, March time frame, and obviously had a negative impact on gross margin. So now that it's completely done, we're kind of back to full scale progress. And I think our gross margins should definitely trend back up to kind of where they were previously. So I would expect that number to continue to improve for sure in the second quarter. And then depending on how good the second quarter is, we still may get even better. But I would expect kind of upper 80%. We've hit 90 in the past. That would be a great quarter. But upper 80s is kind of the ballpark we should be playing in from a margin perspective. Does that answer it, Ross?
Ross Osborne: Yes. Perfect. Thanks for taking our questions. Congrats on progress.
James Young: Thank you.
Mary Szela: Thanks.
Operator: The next question will come from Frank Takkinen with Lake Street Capital Markets. Your line is now open.
Frank Takkinen: Great. Thanks for taking the questions. Congrats on all the progress. I was hoping to start with cadencing of revenue. Obviously, in light of the financing, you're increasing the sales force. So maybe how does that impact the growth rate as we go through the back half of the year to accelerate to achieve that 50% growth for the full year?
Mary Szela: Yeah. So one of the things of the whole private placement was really twofold. The goals were twofold. Number one, we're seeing just incredible momentum. We know that if we could add sales resources, marketing resources, we could potentially even grow even higher than our current growth rate. And so we plan to add sales resources starting now. We had a number of positions that we were targeting that we want to fill rapidly. We'll probably layer them in over the next couple months, and you'll see the biggest impact in the fourth quarter. But really, the significant impact will be in 2026. Usually, it takes about three to six months for reps to really get their footing and get on board and start driving meaningful volume. So you'll see that being peppered in over the second half of this year.
Frank Takkinen: Got it. That's helpful. And then maybe just for the second one, I was hoping you could comment on maybe any feedback you've heard from physicians on the new mapping code. I know when we spoke with physicians that was one of the key issues that they were speaking to of using the device more frequently in their practices. So maybe what's kind of early feedback, understanding it's only been 45 days since that's been effective, but what's early feedback and how should we kind of think about the impact of that?
Mary Szela: Really favorable. I will tell you that I think as a company, I'm not sure we fully appreciated that that was holding us back, but we're really starting to see people use this much more predominantly and consistently. So very favorable feedback across the board. So we're very excited about it. I think it now gives us full reimbursement. And now with our product portfolio, we have a full vessel range size. So it allows physicians to adopt it much more broadly than how they were before. I think it was more selective. Now that we have the full portfolio and a full reimbursement, they're very comfortable now using it in a much broader set of patients.
Richard Marshall: And if I could add, I think physicians, they're no longer worrying too much about, can I use this in this setting? It's much more straightforward. They're treating disease based upon the disease and not worrying so much about reimbursement.
Frank Takkinen: Got it. That's helpful. Thanks.
Operator: And our next question will come from Suraj Kalia with Oppenheimer. Your line is open.
Suraj Kalia: Hi, Mary. Can you hear me all right?
Mary Szela: Yep. Good. Good to hear your voice.
Suraj Kalia: Mary, congrats on all the progress. Hey, Mary on nelitolimod. I'm curious, one is the drugs PK profile, right? The 12 patients that you'll have done, how would you characterize the relative balance between the drugs PK profile and the delivery mechanisms, titration schedule across the patients? Do we know which side that is tilted more? I guess what I'm really trying to understand is, what leverage would you all have eventually as you all start your discussions with strategic partners?
Mary Szela: Yeah, so you know what's interesting. We actually saw this in our uveal, metastatic uveal melanoma trial that nelitolimod had very long-term effects and that you actually saw late favorable effects, even eight months, 10 months out. So we don't know exactly why that is the case, but we've seen that across the board. And we know that, this drug and its effects, and we're going to have some publications come out soon with hypotheses around the mechanism of action. But it's because it's a type C and its effect on myeloid-derived suppressor cells, there's a hypothesis that it has a much longer duration of effect on the immune system. So, I think that's just our early view of it. You know, this is a Phase 1 trial, so there's still so much to know about that. But I think what's the feedback that I've received from various people that I've spoken to, and probably what was intrigued other parties the most was particularly in our uveal melanoma, metastatic melanoma trial was that nelitolimod actually helped patients who were checkpoint refractory. So obviously that's a very big focus for Big Pharma on, can you make a patient who's not receptive to a checkpoint receptive? And so I think that was a big focus of their interest in nelitolimod. Does that help?
Suraj Kalia: Yep, yep. Fair enough. And Mary, as a follow up, the 42% growth in Trina, right? It's quite impressive, especially in the current environment. And I'm curious if you could give us some additional color, the 42%, how broad-based, deep, just some additional granularity on utilization characteristics would be great. I know you all said 32 new accounts added, but just kind of give us a broader picture to help us better understand the cadence as we walk through the quarter. Thanks again, and congrats.
Mary Szela: Yeah, typically we -- our first quarter is generally our lower first quarter. We usually come off a very strong fourth quarter, which we did. And then we see it build throughout the year. I think one of the things that's been a catalyst for us is also getting the additional code, which we had not planned for actually in our planning for 2025. We've really seen a nice improvement and momentum starting once the code was announced. But what you'll see is throughout the year, we start to see utilization generally increase significantly. And the part of that is due to the big focus change that we had from last year. Last year, we were just trying to get into new accounts. So we had a big focus about getting through back-up approvals, getting into as many different hospital accounts as possible. This year, we're in a very significant number of hospitals that are high volume. Our big focus is on driving utilization and generating utilization beyond just one IR but into multiple IRs across consistent patient populations. So we'll start to see that utilization grow throughout the year. And we actually built up our plan in a pretty ground-up way where we look at each every territory, where the physicians are using it, how that utilization is changing. So we feel very comfortable about our guidance around the 50% growth. Hopefully that helps. I don't know, Jim, if you wanted to add anything further.
James Young: No, I think that covers it. I think the big focus last year, like Mary said, was the getting a lot of new accounts through back-up approval. And now the focus is more, geared towards utilization. So I think she summed it up well.
Richard Marshall: And I also think we have a lot better data that our physicians are using. In particular, our healthcare economics outcomes research that demonstrates cost savings with use of TriNav down the road. So I think people appreciate that the device is actually useful from an economic standpoint.
Frank Takkinen: Appreciate it. The next question will come from William Plovanic with Canaccord. Your line is open.
William Plovanic: Great. Thanks. Good morning. A couple of questions, if I could. First, just on the kind of commercial organization, on the salesforce, what was the number at the end of the quarter? Where do you look to go by the end of the yea as you're investing in this, just trying to get some data behind it? And then on the accounts, you had a big number of new accounts. But what's the net account number as you exited Q1? And then I have a follow-up.
Mary Szela: Sure. So we currently have, and we don't split out kind of, we have clinical specialists and reps, and we have about 45. And then we have management. Our goal is over the next 18 months, I'd like to get to about between 60 and 70. What we've been trying to do, Bill, and this is something that we've learned along the way, we hired probably too aggressively years ago, and we now really understand what the phenotype of the sales representative that we need. And so we've been much more thoughtful about adding that type of rep. They have to have a blend of clinical skills, technical skills, but they also need to know how to build a new therapy. And we have a wide array of different applications. So that's a more targeted type of representative that we're looking for. So we'll add that over the next 18 to 24 months. That's our goal. And we've been very thoughtful about where to place them, where the volume is, and how to balance that among the different applications. And that's going to be a big part of it. Does that help?
William Plovanic: Yes. And then on the accounts, Jim?
James Young: Yeah, I think the accounts, it was in the neighborhood of right around 300 at the end of the year, and we added about 30 or 40 this quarter. So, it's kind of in the low to mid 300s.
William Plovanic: Okay. And then, on the updated guidance and the push out of profitability, just how much of that is a function of the commercial organization expansion versus the investment in thyroid and some of the other programs?
Mary Szela: Yeah, it's probably about 60% the expansion of the commercial organization, and then about 40% investment in new applications. We're going to start a registry trial in two new applications. One is in genicular artery embolization, which we think is a really promising high growth area for us. We're also going to do a registry in uterine fibroid embolization. And our goal is ultimately across a wide array of different applications is build this registry data that allows us to refine what are the clear endpoints and differentiation of trying to have in these procedures, collect outcome data, and collect data that ultimately we could submit for inclusion into the guidelines. And so those registries are not as costly as a significant clinical trial, but it can function like a clinical trial because we can compare to standard of care, although we can bill for therapy as those patients are enrolled. And we'll have multiple different registries by the end of the year. And then our goal in 2026 is to add some additional registries and some of the other areas and new applications that we're exploring right now.
William Plovanic: Okay. And then the last question, if I can sneak one in. Just on the, you know, second quarter, you know, you're guiding 50% for the year. The streets sit in it, I think 10-4 were 10-5, so a little over a million. Yeah. Is that something, I mean, everything's back half loaded right now? Are you comfortable with the second quarter consensus at this point? Yeah. Thanks for taking my questions.
Mary Szela: Yep.
Operator: And our next question will come from Jason Witz with ROTH. Your line is now open.
Jason Witz: Hi. Thanks for the question. Mostly follow-ups here. You know, first off, on the salesforce expansion. Does that get you to basically what you would consider a full penetration in terms of covering the entire country?
Mary Szela: No, not yet. It’s roughly about 400 hospitals that represent about 80% of the procedural volume. So, I would say that over the next 18 months, that will get us there if we fill all of those reps. But one of the other things that we're considering and we're working through right now is these new applications offer a lot of volume. And so we're going back and looking at our procedural model and does these new applications in the utilization modify some of those plans? So I don't have a complete answer on that, particularly with thyroid and GAE and some of these other new procedures which are done in different locations that may modify that a little bit. So that's why I'm not answering that specifically. We'll have a better plan and understanding of that over the next couple months.
Jason Witz: Okay, that's fair. And did you break out sort of between taste and tear sort of what the trends have been in terms of usage right now?
Mary Szela: Maybe I'll have Dr. Marshall talk about that. You know, we see the data. It's generally been about 50-50, but we know that it's skewing a little bit more towards radioembolization. Dr. Marshall, you want to talk about that?
Richard Marshall: Yeah, I can talk about the overall feeling with our new CPT code for mapping. And I think that's really generating a lot of buzz among physicians. And I think as we look at the market as a whole, tear is trending way higher than taste. The tear has become the number one local regional therapy to keep patients on liver transplant lists. And so I think we'll see that continue with the use of TriNav. It'll follow that path. For taste, we still see very heavy use in things like neuroendocrine tumor embolization. And while that's a small subset of patients, these patients get numerous embolizations. So one patient might receive four or six treatments over their lifespan. The growth is definitely in tear at the moment.
Jason Witz: Got it. Thank you. I'll jump back in queue. Thank you very much.
Operator: I am showing no further questions at this time. I would now like to turn the call back over to Mary for closing remarks.
Mary Szela: Okay. Thank you, everyone. I really appreciate you joining the call. And thank you for all your questions.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.